Osamu Okuda: I am Okuda, President and CEO. I will provide a summary of our 2025 performance and the outlook for 2026. Please refer to Slide 5. Regarding our full year results for 2025, revenues, operating profit and net income all reached record highs on a core basis. Revenue reached JPY 1,257.9 billion, exceeding our initial forecast by 5.7%. This was primarily driven by higher-than-expected exports of Actemra and Hemlibra to Roche. Operating profit surpassed the JPY 600 billion mark for the first time, representing our ninth consecutive year of profit growth. Operating profit margin also hit a record high of 49.5%. Moving to our 2026 earnings forecast. We anticipate another year of record-breaking results. We are projecting a revenue of JPY 1,345 billion, up 6.9% year-on-year and core operating profit of JPY 670 billion, up 7.5% year-on-year, fueled by growth in domestic product sales, royalty income and other revenue streams. At the same time, we expect to maintain a high operating profit margin. The next slide illustrates our revenue trends. We expect revenue to increase by JPY 87.1 billion or 6.9% compared to 2025. Domestic product sales are projected to rise by JPY 25.6 billion as steady growth of new and mainstay products outweigh the negative impact of NHI price revision and generic competition. Overseas product sales are expected to remain flat year-on-year, while NEMLUVIO and Hemlibra will continue to grow. These gains will be offset by lower export unit prices and a decline in Actemra sales due to biosimilar entry. In contrast, other revenues is set to increase significantly, driven by higher royalty and profit share income from NEMLUVIO and orforglipron and Hemlibra alongside an increase in milestone payments. Next is Page 8. I will discuss our dividend policy. Reflecting our strong 2025 performance, we plan a year-end dividend of JPY 147 per share. This includes an ordinary dividend of JPY 72, up JPY 22 from our initial forecast and 100th anniversary commemorative dividend of JPY 75. Combined with the interim dividend of JPY 125, the total annual dividend will be JPY 272 per share. For 2026, consistent with our policy of targeting an average dividend payout ratio of 45% based on core EPS, we plan to increase the ordinary dividend by JPY 10 from 2025, bringing the forecast annual dividend to JPY 132 per share. Page 9. Moving on, I would like to review our 2025 management policies and priority items. Under strengthening RED functions and value creation, we successfully confirmed the proof of concept for NXT007. Furthermore, we accelerated our focus strategy by deciding to collectively discontinue 5 in-house development projects and making go/no-go decisions on 6 others. Open innovation also progressed steadily as evidenced by the conclusion of 12 new research and technical collaborations. We've seen maximizing value of life cycle management projects despite the delay in Elevidys launch, we achieved several key milestones. This includes the successful Phase III results and subsequent filings for orforglipron and continued growth of domestic mainstay and new products and strategic in-licensing of sparsentan from a third party. Regarding strengthening the foundation, while we faced some challenges in meeting our 2030 midterm environmental goals, overall progress is smooth. Key highlights include the rollout of our new HR system and the launch of a company-wide initiative to accelerate business transformation using AI. This slide details the progress of our R&D projects. In early in-house development, MINT91 and the midsized molecule of 001 transitioned to Phase I, while GYM329 for obesity moved into Phase II. Late-stage development also saw significant progress for products expected to drive future domestic growth, including the addition of sparsentan, the transition of trontinemab to Phase III and positive trial data for giredestrant. Additionally, we have successfully obtained regulatory approval for Elevidys. As our project portfolio expanded through the RED shift, we prioritized the selection and concentration of early-stage projects through collective discontinuations and rigorous go/no-go assessment. Consequently, the number of Phase I projects was reduced from 21 at the end of 2024 to 15, allowing us to focus our resources on high-priority candidates. With 9 projects in Phase II and 28 in Phase III, we continue to maintain a robust and healthy pipeline. 3 projects are currently under regulatory review with approvals expected within this year. Next, Page 11. We're going to review priority items. For strengthening the hemophilia franchise, development of Hemlibra auto-injector progressed, and we confirmed proof of concept for NXT007. For DONQ52, we confirmed biological proof of concept and are steadily progressing towards initiating Phase II studies. Regarding Elevidys, Chugai's first gene therapy product following a fatal case of acute liver failure in an overseas nonambulatory patient, we strengthened safety measures, while maintaining close coordination with relevant authorities. We aim for a prompt launch following reimbursement approval for ambulatory patients aged 3 to 7 years. Regarding the new HR system launched last January, over 20% of all employees volunteered and proportion of job postings in annual personnel transfers exceeded initial target, reaching over 60%. We'll continue to promote employee autonomy and career development. Page 12. We will explain progress in the first 5 years of our 10-year TOP I 2030 plan. Regarding the first pillar, realizing global first-class drug discovery, drug discovery projects and midsized molecule pharmaceuticals made steady progress. We also accelerated external partnerships and investments to drive further innovation, including CVF investments and introduction of RaniPill technologies. For the second pillar, building futuristic business model, we reorganized the value delivery functions of sales, medical and safety. On the production front, we successfully supplied products to meet rapid demand fluctuations and established our own production infrastructure for the future. Simultaneously, we advanced company-wide DX, including projects for the launch of ASPIRE. Page 13. Based on the progress over the past 5 years, we defined 5 targets for the latter half of TOP I 2030. To achieve annual launches of Chugai originated global products, we will enhance early-stage development capabilities, including pharmaceuticals, while collaborating with partnering functions in Japan, U.S., Europe and Singapore to pursue further drug discovery innovation. In production, we'll establish a stable supply system considering geopolitical risks to prepare for increased supply responsibilities accompanying the growth of in-house global products. Furthermore, in the newly entered CVM field and metabolism field, we will build systems and capabilities to enable advanced development, project management, safety, medical affairs and sales activities that respond to the distinct characteristics of this field and changes in the external environment, thereby maximizing the value delivered to patients. To achieve these goals, we will advance the utilization of AI across the entire value chain and drive business transformation. We present the management policies and priority items for 2026, the first year of [indiscernible] 5-year period. The management policies are enhancing RED functions and creating value, maximizing value of LCM projects and strengthening business foundations. The priority items are shown on the right. There are 4 of them. We'll continue to strengthen our hemophilia franchise by advancing development towards application for the Hemlibra auto-injector and initiating Phase II studies for NXT007. We also anticipate the highest number of domestic applications to date. These initiatives are expected to drive short- to medium-term growth in domestic sales. In particular, for Lunsumio, one of the products expected to achieve large-scale growth, we aim for early market penetration of combination therapy with Polivy. We also ensure the successful launch of our new ERP system, ASPIRE, and promote the company-wide utilization of AI. Now looking at the average annual trend in the number of Chugai originated global products launched since 2001, the number has steadily increased in the past. Particularly over the last 5 years, the number of launches of in-house global products have increased, and these products will drive profit growth in the short to medium term. Furthermore, we anticipate that achieving the annual launch of in-house global products target set in TOP I 2030 will lead to further profit growth thereafter. Moving forward, we'll continue to leverage Chugai's unique drug discovery approach to advance drug discovery, including midsized molecules and develop new modalities, thereby expanding the creation of innovative new drugs that only Chugai can deliver. Through these efforts, we'll achieve the TOP I 2030 goals and realize sustainable growth beyond them. The next slide, Page 16. Last but not least, regarding the opening of our U.S. partnering office. We opened the Chugai U.S. Partnering Office in South San Francisco, commencing operations this month. We will explore, identify, evaluate and promote collaborations with U.S. academia and venture companies. In addition to the U.S., we will strengthen our partnership network, connecting Tokyo, London and Singapore to advance global open innovation. Page 17, the last page. This shows the summary of what I said, and that concludes my presentation.
Kae Miyata: We have the overview of development pipeline from Kusano. We apologize for the disturbance we had, and we will pause for a few moments at the very beginning of the session. I hope you will make use of that opportunity for a screen capture.
Tsukasa Kusano: Thank you. I am Kusano. I am with Project and Lifecycle Management Unit. Please refer to Page 20 of the slides. This looks at our fourth quarter topics. I will go through these starting from first half. We secured 2 approvals. Tecentriq obtained an indication expansion for nresectable thymic carcinoma. Lunsumio was approved for a new subcutaneous injection formulation. On the filing side, there were also 2 key developments for our in-house product orforglipron. Eli Lilly has filed an application in the United States for its use as an obesity treatment. Regarding Tecentriq, we filed an application yesterday for its use as adjuvant therapy in MRD-positive bladder cancer. We also initiated 3 Phase III trials for Roche products; trontinemab for Alzheimer's disease; zilebesiran for hypertension and divarasib for first-line non-small cell lung cancer. Additionally, divarasib received orphan drug designation last December for KRAS G12C mutation-positive unresectable advanced or recurrent NSCLC. There were 2 pipeline divisions. Based on the data accumulated to date, we have decided to discontinue the development of BRY10 for chronic diseases. Furthermore, the development of Tecentriq for perioperative NSCLC was discontinued following the results of the IMpower030 trial. Details regarding recent publications, new contracts and investments by Chugai Ventures Fund are summarized on this slide. Moving on to the second page of topics. For our in-house product, PiaSky, we achieved positive results for Phase III trial for atypical hemolytic uremic syndrome. Orforglipron also met its primary endpoint in its switching trial following the administration of injectable incretins. Furthermore, I am pleased to announce that Enspryng met its primary endpoint in the Phase III trial for myelin oligodendrocyte glycoprotein antibody-associated disease. Based on recent trial data, we plan to file for Gazyva, giredestrant, ranibizumab and sparsentan within 2026. Regarding academic conferences, there were 3 presentations. I will provide a more detailed update on giredestrant later in this session. This is a summary of our major R&D events in 2025. The changes from the previous updates are underlined and shown in bold fonts. While a few items have been carried over to the next fiscal period, we consider these results to be generally highly satisfactory. In particular, looking back, the confirmation of POC for our in-house product, NXT007, a major milestone, and the decision to advance it to Phase III represents a significant progress. Next, I will discuss the major milestones for 2026. A key readout for our in-house portfolio is the Phase III trial of Enspryng for MOGAD, which, as recently announced, successfully met its primary endpoint. Regarding GYM329, we will now refer to it by its international nonproprietary name, INN, emugrobart. We plan to announce results for 3 Phase II trials for emugrobart this year. For SMA and FSHD trials, the data have already been collected, and we look forward to sharing the results with you soon. For Roche product, pivotal trial readouts are scheduled for divarasib, giredestrant, Lunsumio and sefaxersen. Regarding trial starts, we have listed those that have already been publicly disclosed. For NXT007, we have scheduled 3 Phase III trials, including head-to-head comparison with Hemlibra. We also plan to initiate a Phase II trial for DONQ52 in celiac disease. Now I will present the results from 2 trials for giredestrant. First is the evERA trial for hormone receptor-positive/HER2-negative breast cancer in patients previously treated with the CDK4/6 inhibitor. Although these results were presented at last year's ESMO Congress, I would like to review them with you today. Giredestrant is an oral selective estrogen receptor degrader or SERD designed to inhibit estrogen receptor signaling regardless of ESR1 mutation status. It is expected to show efficacy even in tumors that have developed resistance to conventional endocrine therapies, including previous generation SERDs. In, in vitro studies, it demonstrated higher cell proliferation inhibitory activity compared to other oral SERDs. Furthermore, the combination of giredestrant and mTOR inhibitor everolimus is expected to provide superior antitumor activity compared to monotherapy by simultaneously inhibiting 2 key signaling pathways involved in hormone receptor-positive breast cancer proliferation and endocrine resistance. In the evERA trial, this combination significantly improved investigator-assessed PFS, the primary endpoints in both the ESR1 mutation positive and ITT populations. The therapy reduced the risk of disease progression or death by 62% in ESR mutation positive group and 44% in the ITT population. These results suggest that giredestrant plus everolimus could become a valuable new oral treatment option for patients previously treated with CDK4/6 inhibitors, a segment with limited effective alternatives regardless of their ESR1 mutation status. [indiscernible]. Regarding the giredestrant, I would like to introduce lidERA study, which targeted adjuvant therapy for hormone receptor-positive/HER2 negative early-stage breast cancer. This data was also presented at last year's San Antonio Breast Cancer Symposium. Giredestrant demonstrates stronger growth inhibitory effects than estradiol E2 depletion or tamoxifen in ESR1 wild-type cell models with high estrogen receptor signaling activity and endocrine therapy sensitivity as shown by nonclinical data. Furthermore, in the Phase II study of non-adjuvant -- neoadjuvant therapy for early breast cancer, giredestrant demonstrated superior proliferation inhibiting effects compared to aromatase inhibitors or tamoxifen. Based on these results, an interim analysis of the lidERA comparing giredestrant monotherapy with standard endocrine therapy as adjuvant therapy for hormone receptor-positive/HER2-negative early breast cancer showed a significant improvement in the primary endpoint of invasive disease-free survival or IDFS, compared to standard endocrine therapy. In the interim analysis, this reduces the risk of recurrence or death by 30%. These results demonstrate that giredestrant offers the first benefit in approximately 20 years for a new endocrine therapy in early-stage breast cancer, demonstrating the potential to become the new standard of care for adjuvant therapy in hormone receptor-positive/HER2-negative early-stage breast cancer, which accounts for over 70% of early-stage breast cancer cases. Based on evERA and lidERA studies, we plan to file for approval for each this year and look forward to delivering new treatment options to patients. Next, we'll introduce 3 examples of our efforts to promote open innovation for expanding our drug discovery engine. The first is our collaboration with Gero. Gero excels at identifying targets for age-related diseases using a platform that combines physics-based machine learning models with human dataset analysis. By combining Gero's identified targets with our proprietary antibody engineering technologies, we aim to create first-in-class therapies for age-related diseases. The second is Araris. We have entered into a joint research and license option agreement with Araris. Their AraLinQ Technology features high stability in blood, preserves the inherent properties of antibodies, including pharmacokinetics and can carry 2 or 3 payloads. By combining this with our antibody technologies, we aim to create highly differentiated ADCs that achieve a broader therapeutic window and enhanced efficacy. The third is Rani Therapeutics. The company possesses technologies enabling oral administration of biological products featuring painless drug delivery within the intestinal tracts, high drug delivery efficacy and bioavailability comparable to subcutaneous injections. By combining this, again, with our various antibody technologies, we also aim to realize biological products with high convenience through weekly or monthly oral administration with efficacy comparable to intravenous, subcutaneous injections. We will accelerate innovation by collaborating with partners possessing target discoveries and modality technologies that synergizes with our own. Now this slide shows market sales for major projects. Global sales are based on guidance from Roche or Galderma. There are no updates from previously disclosed figures. Within the domestic sales, the upper range section represents our in-house products, while the lower blue section represents Roche products. This slide shows the status of our portfolio across each modality. We continue to hold a robust pipeline of in-house developed projects, all progressing steadily. We're also pleased to announce that we have named our drug discovery technologies for midsized molecules, our third pillar of focus, SnipeTide. Snipe embodies the characteristics of our midsized molecules, high precision binding to intracellular targets via oral administration. Tide evokes the peptides that form the basis of this technology, while also expressing our aspiration for it to become a new trend in peptide drug discovery. We'll continue to focus on the continuous creation and development of our proprietary products or in-house products, including midsized molecule drugs to address unmet medical needs. Last but not least, our projected submissions. Projects marked with light blue stars are newly added ones. Projects marked with green stars have changed since the previous update. Specifically, for giredestrant, we are advancing the application for adjuvant therapy based on the lidERA study that I mentioned to this year. The following slides are attached as reference materials. That concludes my presentation. Thank you.
Kae Miyata: Next, we will have from Taniguchi, presentation on FY 2025 consolidated financial overview. We will pause at the very beginning of the presentation. So those of you who wish to take a capture, please use this opportunity to do so.
Iwaaki Taniguchi: Hello. I'm Taniguchi. I look forward to working with you today. I would like to describe the full FY 2025 consolidated financial review. As was mentioned by Dr. Okuda, I am pleased to report that cumulative revenue through the fourth quarter reached JPY 1,257.9 billion, up 7.5% year-on-year. Core operating profit also grew to JPY 623.2 billion, a 12.1% increase. Now I will provide details of these results. First, on the revenue. The pharmaceutical product sales rose to JPY 1,077.8 billion, an 8.0% increase year-on-year. By region, domestic sales were JPY 472.4 billion, up 2.5%. We had strong performance from new and mainstay products, effectively offsetting the impact of generic penetration and NHI price revisions. Overseas sales reached JPY 605.4 billion, up 12.8%, continuing to benefit from robust exports of mainstay products through Roche. Those are for product sales. Other revenues, including royalties here, increased by JPY 7.4 billion year-on-year to JPY 180.1 billion. While milestone income from third party declined compared to previous year, this was offset by an increase in Hemlibra royalties from Roche, resulting in an overall year-on-year gain. Turning to expenses. Cost of sales was JPY 351.5 billion, up 4.0% year-on-year. But if you look at the cost ratio, Actemra was relatively high, ratio has dropped slightly from previous year. So negative -- cost of sales ratio for pharmaceutical products improved by 1.3 percentage points to 32.6%. Regarding SG&A expenses, we successfully maintained these at JPY 103.2 billion, flat more or less year-on-year by driving efficiency to offset rising prices and labor costs. R&D expenses rose by JPY 3.2 billion to JPY 180.1 billion, primarily reflecting the impact of yen's depreciation. Other operating income saw a modest JPY 2.7 billion decrease, mainly due to lower gains from product transfers. As a result, operating profit rose by JPY 67.1 billion to JPY 623.2 billion, but the operating profit margin expanded 2 percentage points to 49.5%. Net income after taxes reached JPY 451.0 billion, a 13.6% increase. Next, on the changes from last year in pharmaceutical sales. Starting with domestic at the very bottom, domestic oncology sales were JPY 246.5 billion, a marginal decrease of 0.5% compared to the previous year. Specifically, steady growth in the new product, Phesgo more than offset the decline in Perjeta sales. Additionally, while Lunsumio is off to a strong start, Avastin sales declined due to generic competition. Specialty sales grew by 5.8% to JPY 255.8 billion. There was, yes, NHI price revisions, but in addition to mainstream products, Hemlibra, Actemra and Enspryng and Vabysmo alongside new products PiaSky, all delivered steady growth. Overseas pharmaceutical sales grew 12.8% to JPY 68.6 billion, primarily driven by strong exports of Hemlibra and Actemra. Next summarizes full year export status to Roche of Hemlibra and Actemra. First, Hemlibra. Fourth quarter sales, the final quarter. If you look at that compared to last year, rose by JPY 35.3 billion year-on-year. If you look at the full year cumulative sales, that reached approximately JPY 20 billion above our initial JPY 318.6 billion forecast. Actemra, since biosimilar penetration has been slower than expected, if you look at just the fourth quarter, we have seen -- well, leading to JPY 8.6 billion year-on-year increase on the fourth quarter. Consequently, for the entire year, Actemra forecast of JPY 123 billion was exceeded by approximately JPY 30 billion. So this was increased by about JPY 30 billion. Next, on the changes, this is like a factor analysis and changes in the operating profit. Starting with the Domestic segment on the left. As noted, there has been an impact of NHI price revision to drive higher operating profit. In the Overseas segment, the more we have sales in the emerging markets, the unit price will become lower. So volume growth significantly outweighed the impact of lower export unit prices, combined with favorable foreign exchange movements, these factors will keep contributing to the growth of operating profit. The revenue also contributed to the profit increase, primarily through higher Hemlibra royalties. This is the breakdown of the increased profitability of JPY 672.1 billion. On a quarterly basis, we are comparing P&L trends. Because of the export timing, there will be more ups and downs. If you focus more on the sales, this is by quarter changes. As you can see, the export to overseas, again, because of timing of the product, disease timing, there will be ups and down. Next is the FY 2025, how the outcome actually landed. So how much of a gap there was to what we have expected. As you can see, both the sales and the profit. And for each segment, we have exceeded the projection. So it was greater than 100%. For the expenses, there were some pluses, but it's been slightly lower. So that led to overachieving the operating profit. This is the byproduct sales as compared to the forecast at the beginning of the year. And the inventory situations have changed and there was slight negative, but everything else, like Actemra overseas, Hemlibra overseas and domestic. Overall, compared to our forecast, there was a positive number. Next page is the impact of foreign exchange rate fluctuations and the performance. The actual rate was JPY 161.2, including the forward contracts, which is the basis for the sales recording and JPY 173.57, so JPY 12.50 depreciation. So there was an impact in terms of revenue, JPY 49.6 billion plus and JPY 44.2 billion operating profit on the positive side. And this is the actual rate of pricing compared to the forecast rate. So 80% of the contracts are hedged in the previous year. So 20% are unhedged and use the actual rate, and there's change in exchange rate. So as a result, in 2025, there was a further depreciation of yen. So JPY 5.6 billion in sales and JPY 3.6 billion in plus for operating profit was recorded. And the balance sheet, JPY 2,468.6 billion, which is JPY 260.2 billion increase. There was a working capital increase and also net asset increase because of investments. And net assets increased by JPY 124.2 billion. Compared to total assets, there was a slight lower increase, but there was some interim payment of dividends and 82.1%, which is shareholders' equity ratio, which is over 80%. And here, you're talking about cash status. And last year, at the end of 2024, JPY 996.3 billion, but now there was a decrease of JPY 160.6 billion. And operating cash flow, JPY 452.1 billion, there was further positive size by income tax payment and dividend payments and JPY 170 billion for special dividend was included. So cash increase was slightly suppressed. In total, this shows the trends in ROIC and ROE indicators of capital efficiency. We have been focusing on ROIC so far. But depending on the company, the definitions of ROIC may vary. So in our case, the denominator doesn't include cash. So ROIC has been at the higher level, 43.9% for this year, which is 1 percentage point increase from year-on-year. And as for ROE, which is attracting more attention and definitions are actually universal from company to company for denominator and numerator and 22.1%, which is an increase from the year before. So this is ROE that is way exceeds the capital cost. And this is -- this fiscal's earnings forecast. As Okuda said, as for revenues, 6.9% increase to JPY 1,345 billion. Core operating profit to increase by 7.5% to JPY 670 billion. That is our forecast. Domestic sales are expected to grow despite the headwinds from drug price revisions and generic penetration. We're expecting JPY 25.6 billion growth because of new products growth, so 2.2% growth, which is exceeding the last year's growth. As for overseas exports for products for Hemlibra and NEMLUVIO, they are expected to increase, but there will be further marked impact from the biosimilars in Actemra. So there is JPY 3.4 billion, slight decrease is expected. But for the other revenues, JPY 64.9 billion increase is expected from the previous year, but there will be some foreign exchange impact. The cost side is not going to change that much. So there is going to be a support for profit growth. And this is the slide for the pure product sales aside from the other revenues. And Actemra is significantly negative and Avastin, for various reasons, will remain in the negative territory. But Lunsumio on the other hand, which is a new product, is expected to grow significantly. And Hemlibra overseas will remain on the growth trajectory. And this -- also, this is a core and noncore adjustment. So previously, the intangible asset impairment and also restructuring costs and ERP business foundation system introduction and restructuring costs. These are actually items for core and noncore adjustment items. But in the third quarter, there was also discontinuation of 5 development products that will be recorded. And this is the capital investments currently approved internally. And last page is just for your reference. We have attached details regarding the status of our 5 Chugai-originated global products. That concludes my presentation. Thank you for your attention.
Kae Miyata: We will now move on to a Q&A session. We will also have Hidaka, who heads the sales and [indiscernible] who is also representing marketing and the sales to join. [Operator Instructions]. The content of the Q&A session will be uploaded later together with the presentation materials. We would like to take questions first from those in the room, in the venue, and then we will take questions by Zoom webinar. [Operator Instructions].
Kazuaki Hashiguchi: I would like to, first of all, ask about the Hemlibra. And you said that on the core base, this grew by double digit. And based on foreign currency denomination, I think it has also increased. But for this term, if you use that, it is negative, what are your thoughts about the volume as well as unit price? How will this change from last year? And for volume, I would like to know what your forecasts are for end user sales and the fluctuations in inventory in Russia.
Unknown Executive: Thank you very much for the questions. For FY '26 on a whole, you are correct. We expect a positive number. But if we do elemental breakdown analysis at the point in time -- as for volume and the foreign exchange impact, we are not disclosing this at the moment. Now at the JPMorgan conference, they talked about the single-digit growth, so positive growth, which means that we would like to replenish the inventory through our export on a whole. Hemlibra guidance number has been as disclosed.
Kazuaki Hashiguchi: The second question, in Dr. Okuda's presentation, auto-injector filing for Hemlibra has been mentioned several times. I believe that this is a very important agent in terms of competitiveness. When do you expect this to become available? Is it very close? Or do you still have some issues that needs to be resolved before that can take place? I would like to know more about the progress of this product.
Unknown Executive: Thank you very much for asking about Hemlibra AI. We are moving along very steadily in terms of development. We are not disclosing the dates, but we would like to provide the Hemlibra AI to the patients as quickly as possible. So we are doing everything possible to move things forward.
Unknown Executive: The person next to him please.
Unknown Analyst: [ Yokoyama ] from [ Nikkei Medical ]. Giredestrant is what I like to ask about. So many companies are developing oral SERD drugs, but how do you look at the differentiation from competitors? The inavolisib is going to be a set of those, and this is going to be significant with the combination with inavolisib in breast cancer, but there is no schedule for filing for inavolisib. How do you see this?
Unknown Executive: So giredestrant question. Thank you very much for your question, Yokoyama-san. Other SERD products comparison with those, as I said in the slide, in the in vitro test -- trial, giredestrant compared to other SERD oral product, proliferation suppression inhibitory activities were shown. And in the lidERA study, giredestrant and everolimus combination therapy compared to the conventional standard of care, ESR1 positive patients in addition to that population, ESR1 non-mutant population, there was a PFS that is statistically significantly achieved. So ESR -- regardless of ESR1 mutation, there was efficacy that was proven in the SERD oral product. So the CKD inhibitor -- previously treated with CDK inhibitor patients had a bad prognosis. So there's high hopes on that. And giredestrant and everolimus combination therapy, if you look at this, they are both oral drugs. So there is no injection to be required. So there's high convenience and 2 different signal pathways can be inhibited simultaneously. So compared to monotherapy, there is a higher antitumor effect expected and also adjuvant -- compared to endocrine therapy, standard of care at the interim analysis, primary endpoint was achieved. And for early breast cancer as a new endocrine therapy, this is the first one in the last 20 years, new benefit was brought about. So this could become an adjuvant standard of care. So there's a high hope. And more than 70% of early breast cancer is the target for this study. So we are hoping that giredestrant can contribute to many patients. And as for inavolisib, there is one study with a combination with inavolisib by Roche. But at the moment, the combination of giredestrant and inavolisib, there's no plan for a study with that.
Unknown Analyst: But with the study of giredestrant and everolimus, what sort of strategy can work out will be something that we work with Roche. So that's not my question. ESR can be covered, but CDK4 and 6 has to be suppressed. But -- there's studies overseas, but Japan has not participated, but Phase II study will be done in Japan, and there will be a bridging study. And then at that timing, the inavolisib can be used for the oral SERD study. So when will it be?
Unknown Executive: As for inavolisib, as you said, Phase I study is now underway, and there will be bridging with overseas study data to file for approval. But at this moment, I'm sorry, but we're not in a position to disclose that timing.
Unknown Analyst: So for the timing of filing has not been disclosed. And what you filed for yesterday, the bladder cancer, MRD-positive patients. So for all comers, nivo can be used and [indiscernible] has been presented as part of the data. And so to other -- compared to other products, what will be the superiority of this drug?
Unknown Executive: I'm not sure who this is addressed to. So Tecentriq adjuvant, the muscular invasive bladder cancer. Thank you for your question. And compared to PFS, in OS, the primary and secondary endpoint, there was a statistically significant benefit that was proven. And in the CDR monitoring, the atezolizumab or we can identify patients that can benefit from atezolizumab. There could be avoidance of overtreatment or personalized medicine can be done with the CDR approach. So the patients with lower risk can avoid overtreatment. That will be the benefit.
Unknown Executive: We now would like to invite questions who are joining us through Zoom webinar. [Operator Instructions]. From JPMorgan, Wakao-san, please.
Seiji Wakao: Wakao with JPMorgan. The first question -- first of my questions is related to the royalty other than coming from Roche and also other revenues. Royalty from other than Roche is both for orforglipron and nemolizumab sales or increase thereof, I believe, am I right? If that is the case, orforglipron has not been approved. So I would like to know how you are incorporating that. And we also expect the sales to grow considerably. I would like to have you comment on this.
Iwaaki Taniguchi: This is Taniguchi speaking. Thank you Wakao-san. Revenue stream from other than Roche, yes, is expanding in '26. And you are absolutely right in your understanding. Vast majority comes from those 2 product royalties. That's true. But other sales revenue, in general terms, this is like milestone payment.
Seiji Wakao: Now as for the content, this still is not disclosed, including what we are filing today, we have introduced several assumptions and have reflected in what we are saying. I would like you to tell us about how you incorporate the orforglipron. I think because the product is not out there, you must be exercising conservatism?
Unknown Executive: Yes, for anything that is uncertain, our basic thinking is to make sure that we will use reasonable assumptions.
Seiji Wakao: Second question is about 45% dividend payout ratio. The operating profit in the mid- to long term will lead to greater profit and you are focused more on ROE, which means that at some point in time in the future, you will raise payout ratio. There are no reasons for you not to. Are you discussing this internally of raising the payout ratio to above 45%? And if you have decided no, why?
Unknown Executive: Thank you Wakao-san for that question. We have provided last year at this timing, our capital allocation policies, and we wanted to target 40% stably. And so dividend payment included is based on that. For the time being, we have no plans of revising or reviewing this. And I'm sure you understand that. Now the question is, will we ever consider revisiting? Are we not going to revise this ever? Well, we cannot say anything definitive at this point in time. We'll be looking at the objectively our situation as well as our financial conditions. Now ROE, yes, we are looking at our cost of capital, and we have disclosed this, we consider to be about 7%, which means that our ROE is well above that. So it's not that we are going to make active adjustment of the capital. We don't think that we are at the situation where we need to boost ROE today. In any case, we should continue to maintain and try to strive for improvement of capital efficiency.
Kae Miyata: Muraoka-san, MUFJ Securities. Mr. Muraoka, please.
Shinichiro Muraoka: I'm Muraoka from Morgan Stanley. My question is also addressed to Taniguchi-san for the forecast or guidance for a more detailed way of interpretation. The Slide 7, the forecast by product. So overseas and others, there will be an increase of JPY 70 billion, which is significant. And NEMLUVIO export will probably the biggest contributor. And if that's the case, then the royalties from entities other than Roche, the increase of JPY 730 billion compared to NEMLUVIO also would be larger. That's our guess. Is that something that is valid?
Iwaaki Taniguchi: Thank you very much for your question, Taniguchi speaking. For the breakdown of royalties for the portions that are not from Roche, those 2 that you mentioned is overwhelmingly important. That's what I can tell you. But as for the allocation between these 2, at the moment, we cannot answer that question. So also orforglipron, it has not been launched yet. And you have to look at the timing of launch, which is quite difficult discussion. So we remain undisclosed for the allocation. As for exports. As for NEMLUVIO exports, so this was recorded in the previous fiscal year. But for this fiscal year, we still continue to expect growth, and that has been incorporated in our guidance that we provided at this time. Does that answer your question?
Shinichiro Muraoka: So overseas others, JPY 32.6 billion, JPY 17 billion year-on-year, it is mostly from NEMLUVIO.
Iwaaki Taniguchi: Yes.
Shinichiro Muraoka: And also the breakdown of this Page 7, the domestic and specialties and others sales, JPY 33.3 billion year-on-year growth of JPY 12 billion. Tamiflu is not going to grow. So what's included in this number? Earlier, you talked about P&L cost of goods -- cost of sales ratio that is assumed to increase. So maybe the products that are included here have higher cost of sales. So those that are not in the pipeline, but there is something that you are going to start to sell. That's my personal guess, but am I wrong?
Iwaaki Taniguchi: For the cost of sales ratio, compared to '25, in 2026, there's a positive growth. The background, there is a lot of factors. But if you compare domestic and overseas sales, the cost of sales ratio is much higher in domestic products. So this is related to products. So overseas, there's JPY 3.4 billion decline, but JPY 20 billion increase for domestic sales. So domestic product ratio has increased, and that has brought up the cost of sales overall. As for more details, it is not disclosed, but you mentioned Tamiflu. There are various factors involved, products that are not mentioned and that are expected to grow this year that are included in others.
Shinichiro Muraoka: So that those are expected to grow are not in the pipeline or the filing schedule on Page 39. Those are not included in those schedules?
Iwaaki Taniguchi: No, no, no. That's not the case. There are some that are included. So -- but all that are expected to be filed are anticancer drugs.
Shinji Hidaka: Well, Hidaka from sales speaking. As you said, there's still uncertainty, a lot of uncertainty. But Elevidys, gene therapy sales are incorporated to some extent. And maybe that would satisfy your question.
Kae Miyata: Next, from Citigroup, Yamaguchi-san, please.
Hidemaru Yamaguchi: Yes. At the very beginning about the update of midterm business plan. You talked about the production efficiency of blockbusters have improved from 0.3 to 0.6. My understanding, of course, is you are aiming for 1. Although there are different risks based on current pipeline, do you think that you are achieving what you can achieve? So what are your thoughts about this 0.6 vis-a-vis 2026 and 2030?
Osamu Okuda: This is Okuda speaking. Thank you, Yamaguchi-san, for your questions. So you're looking at this slide, right? Looking back, in the 2000s, it was 0.1. So 1 per 20. In the 2010, it tripled. And in the 5 years since we began the Strategy 2030, we have actually launched 3. You talked about, Yamaguchi-san, blockbusters, but this is about global in-house original product being successfully developed and launched. We are focused on antibody plus a small molecule that we have achieved launch targets between 2026 through to 2030. So in the latter half of TOP I 2030, our strategy is to further increase this. As we talk about midsized molecule, middle molecule, the white will gradually become more purple. If we succeed beyond 2031, this could become like 1 every year or greater global launch that will further drive growth or even better than that.
Hidemaru Yamaguchi: With increased modality, there's this growth will increase because of the midsized module.
Unknown Executive: Yes, we will look at antibody, small molecule, mid-molecule and our imbalance. And we're talking about other modalities. We were discussing this in the TOP I 2030 strategy discussion. We hope to achieve multi-modalities. So we want to increase that.
Hidemaru Yamaguchi: The other question is giredestrant, which you have explained in length, and we have high expectations. What is your peak sales forecast? Or is it too early?
Unknown Executive: Well, thank you for that question. For giredestrant, we are not disclosing that.
Hidemaru Yamaguchi: What would be the TAM in Japan? So the targeted market size. Number of patients or the existing market size is probably quite large, but I would like to know which segment you are targeting? If you don't have that information, if you could provide information later?
Unknown Executive: Yes, we would like to confirm and get back to you.
Kae Miyata: From Macquarie Capital, Mr. Tony Ren, please.
Tony Ren: The first question I would like to ask is about your CapEx. You commented on the Araris partnership for ADCs, right? My understanding is that the CapEx can be very intensive for ADCs. In fact, one of your peer companies recently announced a very large CapEx project for their ADCs. So I just wanted to see how are you thinking about the CapEx related to the ADC drugs? Are you building the production capacity internally? Are you using CDMOs? Are you using facilities from Roche? Is this included in your CapEx budget for 2026? So that's my first question.
Iwaaki Taniguchi: Thank you very much for your question, Mr. Tony Ren. As for the CapEx, for the current status, Araris and Chugai Pharmaceutical are now engaged in joint research. So we haven't discussed the CapEx. We just engaged in joint research. Therefore, as for the 2026 in the CapEx budget, this was not included.
Tony Ren: Okay. Very good. My second question is on the development of your GYM329/emugrobart in obesity. So the [indiscernible] Phase II trial of emugrobart in obesity. If we look at the clinicaltrials.gov, the primary completion is August 2026. Can you confirm that you will be releasing Phase II results roughly around that time as well?
Unknown Executive: GYM329 Phase II trial. Thank you very much for your question on that. So at the outset, as I said in the presentation, the result of the clinical study is going to be released by the end of this fiscal year.
Kae Miyata: [indiscernible] from UBS Securities, we have [indiscernible].
Unknown Analyst: I'm [indiscernible] with UBS. We congratulate you on an excellent performance. In other revenues, this royalty or milestone is -- it includes something -- some items that are outside of Chugai's control. If the actual revenue, other revenue, does that meet your target? What are some avenues that will change or don't we need to worry about this because you are being very conservative?
Iwaaki Taniguchi: Thank you very much [indiscernible], I am Taniguchi. The latter, we have exercised conservatism. But if it is so unexpected happen, we cannot negate the possibility that something will happen outside this. But how this will be absorbed within the entire portfolio? This is something that we will be communicating to you in the quarterly earnings call. So we will keep you appraised or updated within the project planning.
Unknown Analyst: The second question has to do with biological POC of DONQ52. And I would like you to supplement my understanding. What does this mean? In Phase I study like PBMC, like peripheral blood monocytes? Or are you looking at that kind of response at the cellular level?
Unknown Executive: Thank you very much for that question about the DONQ52. We have conducted what we call Phase IC study. This is celiac disease patients who are stable after administering DONQ52 in such patients for 3 days, we challenge them with [indiscernible]. And gluten-dependent immune response is what we are trying to induce. And then we give DONQ52 to see if gluten-dependent immune response can be suppressed. In this study, in addition to PK, we'll be looking at pharmacological action. T-cell activation suppression due to gluten ingestion is also looked into as well as other biomarkers.
Unknown Analyst: What was the outcome of the 3-day challenge study?
Unknown Executive: We are now in the process of analyzing this. And when we are ready to publish data, we would like to do so.
Kae Miyata: Next, from SMBC Nikko Securities, Mr. Wada, please.
Hiroshi Wada: Wada from SMBC Nikko Securities. So I'd like to also ask about DONQ52. So licensing out schedule, how do you look at that schedule and development. As you saw, Phase II study is going to be initiated. So as I heard, this is going to be licensed out to other companies. I think that is the main strategy. Maybe it would be the Phase II timing that you're going to do that. But this is going to be -- Phase II is going to be performed by your own company on your own. So what will be the timing of Phase II as you see it?
Unknown Executive: So Wada-san, thank you very much for your question on DONQ52. For licensing out strategy and timing of individual products, we cannot answer those questions. But the Phase II study that we announced this time would be performed by Chugai Pharmaceutical. Just for clarification. So in the Roche pipeline, this is in Phase I.
Hiroshi Wada: So you're not aligned with Roche on this particular product. Is that correct?
Unknown Executive: Probably. This is not described in the Roche material or pipeline. We don't have the information that they have introduced this. So in the Roche pipeline, Chugai's projects are also described, but this is -- this doesn't show that they have licensed in our product. As Yamaguchi-san asked Page 15, TOP I 2030, 1 per year global product launch that is target. And I'd like to ask about the strategy of research and development. So from 2011 to 2020, 0.3 per year, but '21 to '25 0.6 per year, it has doubled. But R&D around 2015, JPY 80 billion was spent. And in '23, JPY 160 billion. So this was doubled as well.
Hiroshi Wada: So that's why the number of launches has been increased. I understand that. But between now and 2030, if you are to launch 1 per year, then 1.5x R&D expenses will be required. So in order to achieve on 1 launch per year, what is your expectation on the R&D expenses or spending?
Unknown Executive: Okuda will answer that question first. And then for the future R&D investments, I would like to ask Taniguchi to answer the question.
Osamu Okuda: So the R&D expenses and number of launches, whether they are correlated or linked, it's not necessarily the case. So the number of launches, what would be the function of this? So R&D -- aside from R&D, but the cycle time of development, the speed of development and probability of success, those will be significant factors. So there is a time line between R&D activities and launch of the products. So there is not that simple correlation. So as a principle for R&D activities, high-quality products have to be developed. So this has been the case in the past, but with a higher probability of success, we came up with the molecule in the Phase III development. The first indication has achieved 100% success probability. So that quality principle has to be maintained or expanded while engaged in this drug development. So R&D expenses and number of launches are not directly related necessary. But on the other hand, if you look at R&D expenses, it includes the personnel cost, and this is a very important resources to drive research. So this R&D expenses have been increased in accordance with the profit increase. So I'd like to ask Taniguchi to add up.
Iwaaki Taniguchi: Compared to 2025, 5.5% increase was recorded. That was a fact. But as Okuda said -- so the productivity increase is something that we give priority and that is also true for R&D by utilizing AI and go or no-go decision will be further refined. So we are hoping to enhance productivity. So it doesn't necessarily mean that R&D expenses are going to keep going up rapidly. And the target for percentage of R&D expenses, there is no such figure that we have in mind. But as the projects make progress, there could be increase in development expenses. That could be the one that we might end up with, but we're also keeping an eye on productivity and efficiency so that we can maximize our efforts.
Kae Miyata: Next from Bernstein, Sogi-san, please.
Miki Sogi: About Hemlibra. I have two questions. The first question is related to overseas sales. This time in 2026, the assumption on Swiss franc, I mean, you are expecting 6% depreciation of the yen. If that is your assumption, Hemlibra, I understand the plan is to decrease. Of course, sales in the international market, I mean, by Roche or by Hemlibra going up, you said will lead to lower unit price. Even if the volume increases, the lower unit price will have greater effect. So you're selling more, but is it possible that the yen amount exports come down? Is that possible?
Iwaaki Taniguchi: Thank you very much, Sogi-san, this is Taniguchi speaking. Hemlibra forecast for this year, and you're asking about the breakdown, which, of course, is related to unit price, volume and foreign exchange factors. I would like to keep from giving you any responses in detail, but it is true that there has been a foreign exchange effect, positive. What about the net of that? Then we have the unit price multiple wide by volume. Unit price actually has to do with the weighted average in the market previous year applied. So we will be looking at market price and that sort of decides what the export price is going to be. Volume is something that's updated every term in emerging markets, not just the emerging markets, but it is possible that volume increase globally. This has happened in the past. So there's no reason to think that this will not happen in the future. And that multiplied by unit price will give us the results.
Miki Sogi: Also about Hemlibra. And this is related to auto-injector. By launching this, what level of upside do you expect? Hemlibra, I believe, has penetrated the market. Uptake has been great. So who are the patients that have not been able to capture without the auto-injector? And I also would like to understand what Roche has in mind related to this.
Unknown Executive: Well, I would like to respond. Auto-injector development for Hemlibra, we have been striving with the aim of raising convenience of our patients. If we have auto-injector of Hemlibra, we expect the uptake to increase, but [indiscernible] competition could come up with a very convenient device. So please do understand that we are being defensive -- we're taking a defensive approach to that, too.
Kae Miyata: Because of time, we would like to take one last question from Goldman Sachs, we have Ueda-san.
Akinori Ueda: Ueda from Goldman Sachs securities. The first question is about the U.S. partnering office that has been launched. So at the moment, in the previous activities, what were the challenges that you faced to trigger this? And what kind of effects that you're expecting out of this initiative?
Unknown Executive: Thank you for the question. Well, as for U.S. partnering office, this is located in South San Francisco and the West Coast, and it just started operation. So in Silicon Valley, there are many bioventures and universities in the U.S. There are numerous universities located there. And of course, we can keep communication from Japan, but by physically locating in the area, bioventures and academia and venture capitals, we will have closer communication with those parties so that we can achieve open innovation. The drug discovery capabilities increase is the primary purpose, but there will be effective results that we can expect. So that's why we've decided to locate our office in West Coast or South San Francisco. But ahead of this, there was a corporate venture capital that was established in 2023 in Boston, and it's been already 2 years since the start of the operation. And we went into venture communities and from venture companies or start-up companies, there was a lot of information that we received. So as the technology reaches maturity, we could have a joint collaboration with those, and there's a link there as well. But it's not just in the U.S., but in Singapore, there is a similar function. And there's also a partnering function in London and Chugai headquarters, Tokyo headquarters, has this function. So by establishing a global partnering network, we are hoping to increase our drug discovery capabilities. That's our intention.
Kae Miyata: Thank you very much. With that, we would like to conclude Chugai Pharmaceutical fiscal year 2025 financial results presentation. We apologize for the difficulty that you experienced at the first half of the presentation. We will provide backup information via web. If there are any questions that you were not able to ask, please do contact us at the corporate IR. The phone number as well as mail address is shown on the last page of the presentation material. Thank you very much once again for joining us, taking time out of your various schedules.